Operator: Greetings, and welcome to the U.S. Energy Corporation's First Quarter 2025 Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mason McGuire, Vice President of Finance and Strategy. Thank you, sir. You may begin.
Mason McGuire : Thank you, operator, and good morning, everyone. Welcome to U.S. Energy Corp.'s First Quarter 2025 Result Conference Call. Ryan Smith, our Chief Executive Officer, will provide an overview of our operating results and discuss the company's strategic outlook; and our company's Chief Financial Officer, Mark Zajac will give a more detailed overview of our financial results. Before this morning's market opening, U.S. Energy issued a press release summarizing the operating and financial results for the quarter ended March 31, 2025. This press release, together with the accompanying presentation materials are available in the Investor Relations section of our website at www.usnrg.com. Today's discussion may contain forward-looking statements about future business and financial expectations. Actual results may differ significantly from those projected in today's forward-looking statements due to various risks and uncertainties, including the risks described in our periodic reports filed with the Securities and Exchange Commission. Except as required by law, we undertake no obligation to update our forward-looking statements. Further, please note that non-GAAP financial measures may be disclosed during this call. A full reconciliation of GAAP to non-GAAP measurements are available in our latest quarterly earnings release and conference call presentation. With that, I would like to turn the call over to Ryan Smith.
Ryan Smith: Good morning, everyone, and thank you for joining us today. I'm pleased to walk you through our first quarter results, highlight key milestones and provide a strategic and operational update as we continue executing our growth plan. As we discussed previously, U.S. Energy's primary focus is the development of our Montana Industrial Gas project. We believe this platform is ideally positioned to meet growing market demand, support attractive economics and deliver the scale necessary to drive relevance in the public markets. While Montana's winter limits certain field activity, we have now launched the most significant phase of our initial development program. This include workovers and flow testing of existing wells, drilling two new development wells, advancing our infrastructure planning to the point of final investment decision and making substantial progress in our carbon management initiatives. I'll touch on each area individually. Starting with upstream development. In Q4 2024, we drilled our first industrial gas well. Since then, we've been analyzing the results to refine our development approach. In January, we acquired 24,000 net acres in what we believe is the core of the Kevin Dome structure along with an existing well showing significant concentrations of nonhydrocarbon helium. We're currently drilling two back-to-back wells targeting the helium and CO2 rich Duperow with each well budgeted at approximately $1.2 million. We anticipate these wells will validate the scale and quality of our resource with one expected to be designated as a Class II injection well for permanent CO2 storage. It's important to emphasize the uniqueness of our upstream Kevin Dome position. Most U.S. helium production today is tied to hydrocarbons. In contrast, our project is based on a non-hydrocarbon gas stream, giving it a significantly lower environmental footprint. That distinction represents a competitive advantage, especially as sustainability continues to be a differentiating market factor. Turning to infrastructure. Upon completing our initial development program in June, we will begin construction of our processing plant at Kevin Dome. This facility will separate upstream gas into helium and CO2 streams and is expected to process approximately 17 million cubic feet of raw gas per day, comprised of approximately 80% to 85% CO2 and 0.5% to 1% helium. The estimated $15 million plant is expected to be completed in roughly 40 weeks and funded through our current balance sheet and modest strategic use of debt. Beyond our own needs, we've seen opportunities to provide infrastructure solutions to undercapitalize producers in the region. By controlling the majority of the basin's gashes helium supply, we believe we are well positioned to unlock multiple sources of value. Lastly, I would like to touch on U.S. Energy's carbon management front. U.S. Energy control is one of the largest known CO2 deposits in the United States. To monetize the helium within this gas stream, we must process it and permanently sequester the CO2. Fortunately, the Kevin Dome's geology is exceptionally well suited for carbon storage. We already hold multiple Class II injection permits and expect to receive more in this upcoming June. Recently, we completed successful injection tests at two disposal wells, injecting around 17 million cubic feet per day. Once our processing plant is operational, we anticipate sequestering approximately 250,000 metric tons of CO2 annually. We've begun drafting our monitoring, reporting and verification or MRV plan and expect to submit it to the EPA in July. Additionally and in the near term, we also plan to evaluate merchant CO2 sales, particularly given the coastal supply shortages. We're highly optimistic about what lies ahead. This asset represents a transformational opportunity for U.S. Energy and positions us as a first mover in the industrial gas sector with a resource and geographic location that cannot be replicated. Our strategy is focused on building a full-cycle platform from production and processing to long-term carbon storage, while maintaining a disciplined capital allocation approach. The data we've collected to date supports a highly economic development path both at the wellhead and infrastructure levels. Our capital plan remains measured and achievable with initial phases funded by our strong balance sheet and supported by a thoughtful capital strategy. Turning briefly to our legacy oil and gas assets. As you know, commodity prices have pulled back materially this year, which has affected earnings across the sector, including ours. While these assets are no longer our core focus, they still carry meaningful value. Following our successful monetization program in 2024, which helped eliminate debt and build a substantial cash position, we remain opportunistic in pursuing value-maximizing divestitures of noncore oil and gas assets. As we move through 2025, we will continue to execute a disciplined strategy, investing in our core Montana project, while monetizing legacy hydrocarbon assets where appropriate. This approach will establish 2025 as a pivotable year in U.S. Energy's transformation, underpinned by access to the nondilutive or low dilutive capital, a key differentiator in today's market. We believe U.S. Energy stands apart as we have a scalable, economically attractive development platform backed by legacy assets that hold meaningful value with minimal reinvestment. This enables us to reinvest in the high return industrial gas opportunities, while insulating the business from commodity price volatility. On the capital return front, we remain committed to shareholder value creation. And so far, in 2025, we repurchased approximately 832,000 shares, representing roughly 2.5% of our outstanding float. In addition, management has continued to increase its ownership reflecting our strong conviction that our shares remain undervalued and represent a compelling use of our capital. In closing, U.S. Energy is emerging as a differentiated, growth-oriented non-hydrocarbon industrial gas company with operational exposure across upstream production, infrastructure and carbon management. Our strong financial position, clean capital structure and access to internally generated cash flow provide a foundation that many of our peers lack. As we continue to execute on our strategy, we believe we are unlocking a scalable and high-margin growth platform that will create lasting shareholder value. With that, I'll now turn the call over to our CFO, Mark Zajac, who will provide an update on our financial results for the quarter.
Mark Zajac: Thank you, Ryan. Hello, everyone. Let's delve into the financial details for the first quarter of 2025. Our operating results reflect the cumulative impact of our divestitures since the fourth quarter of 2023. Revenue was approximately $2.2 million, down from $5.4 million in the same quarter last year, reflecting the impact of divestitures in the second half of 2024. Oil comprised over 80% of the revenue this quarter, reflecting our focus on optimizing our remaining oil assets. Our lease operating expense for the quarter was $1.6 million or $34.23 a BOE compared to $3.2 million or $29.02 per BOE in the same quarter last year. The overall decrease reflects our divestitures since the first quarter of last year. And on a BOE basis, the increase is a function of our assets remaining in our portfolio. Cash, general and administrative expense was $1.9 million for the first quarter of 2025 and included approximately $0.3 million for discrete costs such as transaction costs and contractor utilization to integrate our acquired assets. Normalized quarterly general and administrative costs are expected to be approximately $1.6 million or an 18% reduction from the same period last year. As for our balance sheet, as of March 31, 2025, there was no debt outstanding on our $20 million revolving credit facility and our cash position stood at over $10.5 million, reflecting the net cash proceeds of $10.3 million generated from our successful equity offering during the first quarter. We also are in talks to renew and extend our credit agreement, which we expect to be completed in the second quarter of 2025. In terms of a shift in CapEx, during the first quarter, we closed on the Montana acquisition and spent $2.1 million acquiring acreage as well as an industrial gas well with production potential adjacent to our recently acquired Wavetech acreage. Overall, our operating performance and financial results reflect our recent divestitures, as well as the company's new initiatives. We continue to maintain balance sheet discipline and integrity, and my objective continues to be to ensure that the company's reporting process maintains a high standard of excellence and we feel confident in our ability to support the growth initiatives we currently have underway. Thank you for your participation this morning. We are now ready to take your questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Tom Kerr with Zacks Small-Cap Research. Please proceed with you question.
Tom Kerr: Good morning, guys.
Ryan Smith: Good morning, Tom.
Tom Kerr: The cost of the processing plant, I believe that was higher than expectations of was your complications or higher cost factors involved?
Ryan Smith: So no, there wasn't. I guess the whole time as we've looked at all the infrastructure build-out and then the wells that are going to supply that plant and what we think the production of those wells is going to be -- it's always kind of been a moving target of size of the plant, what we think the production is going to be and kind of what is that key economic fulcrum of processing dollars, rate of return, CO2 that we process and then CO2 that we believe that we can inject. And I know you know this, but as many, many parts go into that plant, it's not like a one size fit all type of costs. There's different kind of compressors, different kind of horsepower requirements, different kind of power requirements, et cetera. And now that we've kind of moved forward our project with a very high degree of confidence on what all of those inputs are going to be, that $17 million a day type of plant kind of checks all of those boxes for us. There's some lead time on some of those parts. So I think that, that CapEx number is fair. I think it's conservative. I think that, that is a full sticker price with what we know right here and now. Are there ways that price can come down on some of these incremental parts that go into that plant? There is, and we'll work on that. So I think that there's some possibility for that number to come in a little bit lower than that 15%, but I think that's a number that we're comfortable with budgeting for right now.
Tom Kerr: All right. It sounds good. And then the completion, we're still looking at the first quarter of 2026. Could it be bleed into the second quarter of 2026?
Ryan Smith: I think it's a weather thing really when it gets on there. I mean, when I was counting my weeks on my calendar from when we plan on starting, I think it came out to a March type of date. So it could be the end of the very first quarter, it could be the very beginning of the second quarter. I think right now, just some in the air modeling, we're using April 1, just as a clean date, but there could be a two or three week swag there kind of either way.
Tom Kerr: Got it. Okay. One last question. Can you kind of give us a big picture update on the helium markets or helium end markets pricing, demand, contract terms or anything significant change in that area?
Ryan Smith: So I don't think a whole lot has changed in terms of a few parts to that question. I mean the end user base is the same. You have all types of different industries. I would say the largest and the biggest growth forecast industry is semiconductors and chips, and that's the one that's exponentially going forward. The more we move those over here as well, in a way, the helium markets are kind of a long-dated linked to semiconductors. On pricing, it's remained steady. It's come down a little bit from the super peak of a couple of years ago. I think what we're seeing right now in the market for gas is helium is around, I think, on the low end, $400 per Mcf in terms of offtake agreements that are currently out in the market, I think liquefied helium as it's a more specified use in the medical world, in the chip world goes for a much higher price, sometimes 2 times to 3 times that. We model, of course, that lower gases number. And then on the length of offtake, it ranges. The most typical that I see now is kind of a two to a five year number. Some people would be willing to go to like a 10 year type of number, which I don't think we're interested in just because if you look back at helium prices, the one thing that screams off the graph is that there's huge spikes in price. It seems like every 18 months or less. So as we start looking at these agreements. I think that baseline number per Mcf is the number that we move through now. I think there's upside to that number. And then on an expected offtake, I would like to keep them shorter rather than longer for optionality. And the fact that these industries are not going to stop using this, it's only going to keep growing. So again, I think right now, we see about $400 per Mcf and two to five year offtake agreements that are ample out there in the market.
Tom Kerr: Great. Thanks for the update. I'll get back in the queue.
Operator: We have reached the end of the question-and-answer session. I would now turn the floor back over to management for closing remarks.
Ryan Smith: Yes. Thank you all for joining us this morning. We're excited about what we're working on. We've extremely derisked our project year-to-date, our existing development program that we started a few weeks ago and are continuing today through early June is going in the expected direction that we plan for, that we hope for really setting the stage for us to launch and grow this initiative and reach scale within the next 12 months from where we are now. So we're very excited about what we're working on and look forward to giving more updates as we continue to progress forward.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.